Operator: Welcome to the Q3 2015 Service Corporation International Earnings Conference Call. My name is Ethan and I will be your operator for today’s call. At this time, all participants are in a listen-only mode, later we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn the call over to the SCI management team, you may begin.
Debbie Young: Good morning, this is Debbie Young from Investor Relations at SCI. We hope everyone is doing well this morning. We have a lot of material recovery today, so I’ll quickly begin with the Safe Harbor statement. The comments made by our management team today will include statements that are not historical and are forward-looking. These statements are subject to risks and uncertainties that could cause actual results to differ materially from our expectations and projections. These risks and uncertainties include, but are not limited to, those factors identified in our press release and in our filings with the SEC that are available on our website. In today’s comments we may also refer to certain non-GAAP measurements such as normalized EPS, adjusted operating cash flow and free cash flow. Reconciliation of these measurements to the appropriate measures calculated in accordance with GAAP is provided on our website and in our press release and 8-K that were filed yesterday. So let’s now begin with comments from Tom Ryan, SCI’s President and CEO.
Tom Ryan: Thank you, Debbie. Good morning everyone and thank you for joining us on the call today. I’m going to begin my comments by giving you the highlights of the quarter and then a deeper dive into both funeral and cemetery operations. And finally, I’ll give you some color on our updated outlook for the fourth quarter of 2015 as well as our preliminary outlook for 2016. Beginning with an overview of the quarter, we’ve reported normalized earnings per share of $0.23, which was consistent with the prior year period and slightly below our internal expectations. Recall that in 2014, we benefited from the Federal Trade Commission divestiture businesses that we didn’t have in 2015. From the third quarter this headwind was about a penny, so on a normalized basis, we actually grew earnings per share by a penny. Higher preneed cemetery sales production, the impact of our share repurchase program and the lower tax rate at the anticipated effect of improving our earnings performance. Unfortunately, something did not go on our way, the approximate 17% devaluation of the Canadian dollar versus the U.S. had a one penny negative effect on the quarter impacting both funeral and cemetery margins. Additionally, the 530 basis point negative swing in our trust fund performance during the quarter reduced our earnings per share by another penny, impacting both the funeral and cemetery segments. Finally, as we had anticipated our strong first half funeral volume appear to normalize and third quarter core volume was 2.2% lower versus 2014 putting pressure on comparable funeral margins. On the cash flow front, working capital improvements from higher cash receipts tied to our success in preneed cemetery sales production in the timing of a payroll funding more than offset a $25 million increase in normalized cash taxes paid, allowing us to grow our cash flow from operating activity. We continue to deploy capital to enhance shareholder value during the quarter, utilizing just over a $153 million for share repurchases, returning $24 million to an increased dividend, investing over $14 million in cemetery inventory and using over a $11 million during the quarter for acquisitions and newly constructed funeral homes. Now for an overview of funeral operations, when compared to the prior year, our third quarter comparable funeral revenues decreased by $3.6 million. I apologize in advance for the detail there, but in order to better understand, what’s happening within our funeral segment, you will notice on page 3 of the earnings release and please do follow along here if you have in front of you that we’ve broken out non-funeral home matured preneed revenue on its own line item. We combined the atneed revenue and funeral home matured preneed revenue arriving at core revenue, as you will see core revenue and non-funeral home matured preneed revenues have very different growth trends. So the $3.6 million decrease in comparable funeral revenues starts with a $10.4 million decrease in our core revenue, this was offset by a $500,000 or 10% increase in non-funeral home matured preneed revenue AKA [ph] SCI’s direct preneed concerning [ph] atneed, a $2.9 million or 13% increase in recognized preneed revenue AKA [ph] SCI’s direct product sale that get pre-delivered and a $3.4 million or 10% increase in other revenue, which primarily consist a funeral agency commissions earned from preneed insurance sales. The core revenue decline of $10.4 million is the function of a 2.2% decline in volume and 0.4% decline in the reported average. To understand what is happening with the average, let me restate the revenue decline in other way. The decline in the Canadian dollar is responsible for $6 million of the decrease. Trust returns are responsible for another $2 million, which leaves only a $2.4 million decline in core revenues, absent currency and trust earnings. So we are achieving inflationary 2% pricing increases, offset by 40 basis points of increased cremations, my takeaway is that currency will fluctuate, trust income will do the same, for over long periods we will continue to contribute the growth in the average sale. The real question is absents in currency and trust noise how we deal with the consumer? We’re achieving inflationary price increases offset by a 40 basis point cremation exchange, which we anticipated. Now look at non-funeral home matured preneed revenue. The product component of the contract was delivered at the time of sale and reflected as recognized preneed revenue. Now the trusted component of the service is being delivered upon debt, the revenue recognized and cash distributed from the trust. You will notice that we’ve reported a 10% growth in funeral volumes here for the third quarter, this favorable trend begin to surface in early 2015 and we believe it should continue, but remember at an average of about $900 per contract. This is the result of the success, we’ve had in growing preneed sales and SCI direct, whose contracts are averaging a shorter five to six year life that are now maturing and yes, we believe is taking share from our atneed to focus direct cremation competitors. Now let’s talk about funeral profits. With a $3.6 million decrease in funeral revenues, funeral profits declined nearly $11.5 million. So what happened, remember the core revenue declined $10.4 million of that $6 million was currency, which also impacts the Canadian cost structure, as our Canadian funeral margins were about 15% in the third quarter, we lost $900,000 of profit to currency. Trust revenues declined $2 million in our 100% margin and our true core operational decline of $2.4 million as a 60% incremental margin, as it is driven by volume. So all in, our $10.4 million core revenue decline negatively impacted our profits by $4.3 million. Next, our fixed cost in our funeral segment run about $300 million a quarter. With a 2% inflation assumption this would have a $6 million negative effect on funeral profits. And finally, we experienced over $6 million of revenue growth from general agency commissions, SCI direct product sales and services associated with our SCI direct preneed contracts that are matured. We’re very proud of the trends in these businesses and we believe they will continue to grow differently from the core business. The margins here run about 20% and so they contributed an additional $1.2 million in profit for the quarter. These profits were largely offset by the timing of cost associated with our lead management and marketing programs. So to summarize, we lost $6 million of profit through inflationary fixed cost, an additional $4.3 million from core revenue decline including currency, trust income and case volume, this explains $10.3 million of the profit decrease. Lower margin revenue gains from SCI direct and general agency commissions were essentially offset by an increased cost from preneed funeral sales, lead management and marketing cost. Speaking of preneed’s production, one of our core strategies for growing future market share our comparable funeral sales production grew more than $10 million or 5.4% this is consistent with our annual guidance of low-to-mid single-digit growth. Now let’s turn to cemetery operations. Comparable cemetery revenue increased $9.5 million or 3.8% over the prior year quarter. Primarily due to higher recognized preneed revenue offset by the unfavorable effect of the Canadian dollar as well as lower trust fund income caused by a negative 530 basis point move in our trust fund performance. Excluding the $3 million currency decline and a $1.4 million decline in trust earnings, comparable cemetery revenues grew by $13.9 million or 5.5%. The primary reason for increased cemetery revenues was preneed sales production growth of $15 million or 9.2%. Continued success in growing both the sales velocity and the average spent per contract was partially offset by the negative Canadian currency impact. Through the first nine months of the year, total cemetery preneed production was up 14.5% and this will be the fourth year in the last five that we’ve been able to achieve double-digit percentage growth. Comparable cemetery profits increased $6.1 million in the quarter and the margin percentage grew 150 basis points to 24.4%. So let’s look at the components of cemetery profits. Revenue from core operations which are atneed and preneed recognized cemetery production grew nearly $13 million and on this growth we should have seen the 65% margin or an $8.5 million increase in our profit. Second, the $1.4 million decrease in trust income has the 100% margin. And finally, we backlog roughly $4 million of cemetery sales, which we recognized and incurred a 20% selling cost, which negatively impacted profits by about $800,000. We expect these sales to convert the revenue over the next few quarters. The net effect of these three items resulted in a $6.3 million projected increase in cemetery profits, which approximates a reported increase of $6.1 million. . Now regarding our fourth quarter 2015 outlook, we’ve had a great year thus far in 2015. Cash flow is outpacing our forecast, normalized earnings per share has grown $0.08 or 11% which was accomplished despite losing the $0.08 contribution from the Federal Trade Commission or its Stewart divestitures. Taking the impact of these divestitures out of the 2014 base, normalized earnings per share grew $0.16 or 24% year-to-date, as Stewart synergies strong preneed cemetery sales and a shrinking equity base had the anticipated effect. As we think about the remaining three months of 2015 there are couple of areas that we want to highlight. First, we would expect to see funeral volume to decline versus 2014 as last year we began to see the effect of a strong flu season. Volume is up 1.8% in the fourth quarter of last year. So in the fourth quarter of this year, core volume could be down in the low-to-mid single-digits. We believe somewhat offset by low single-digit average growth in revenue per case, absent currency and mix and further held by growth in SCI direct but at a lower average spend and gross profit. Also we would expect a continued negative impact from currency as last year the Canadian dollar was in the high 80s, and today it sits around 76. In our cemetery segment, while we are comparing to a very tough comparable number, we still expect to grow preneed sales in the high single-digit percentage range. We also report a large amount of revenue from construction in the fourth quarter, as it is the seasonal nature of the business, however, not quite as much as we did in the prior year quarter. Finally do you recall that during the fourth quarter last year, we had approximately $15 million of trust income related to accelerated capital gains that we noted would not repeat. Therefore, we currently believe our fourth quarter normalized earnings per share will range between $0.36 and $0.39. Excluding the $15 million of accelerated trust income in the prior year, we would have reported $0.33 per share last year, so guidance is a 9% to 18% growth over that base. Looking ahead to 2016, I’m very optimistic and believe we are well-positioned to deliver solid results. Our preliminary earnings per share guidance range is a $1.24 to $1.36. At the midpoint, we followed in the 8% to 12% range of growth, we spoke to you in our Investor Day presentation last February. Variable [ph] covered cash flow guidance which remains very robust and allows us to continue to grow the company and enhance the value of your shares. Just to give a little more color on the broad assumptions regarding the 2016 outlook, we believe the total funeral revenues to grow in the 2% to 3% range, absent currency fluctuation. Comparable core revenues to grow in the 0.5% to 1% range has inflationary pricing with a slight headwind for mix, should result in a low-single digit average growth. We expect this to be slightly offset by 1% to 2% reduction in case volume. I would expect the tough volume comparisons to be in the first and the second quarters. Non-comparable revenue from 2015 acquisition should add an additional 80 to 100 basis points of revenue growth in 2016. Non-funeral home matured preneed revenue, recognized preneed revenue and general agency revenue should all grow at a mid-to-high single-digit range. This should enhance funeral revenue growth by 50 to 80 basis points. As we discussed before, funeral gross margin percentages should be relatively stable. So revenue increases should generate additional margin dollars in cash flow. We believe the preneed funeral sales should continue to grow in the mid-single digits. As it relates to cemetery, we anticipate the reported revenues will continue to increase in the mid-single digit percentage range led by preneed sales production growth in the mid-to-high single-digit percentage range. Modest growth in atneed cemetery revenues and slightly decreasing trust income as we recorded and withdrew approximately $10 million of one-time capital gains in 2015 that do not anticipate to recur. Therefore our segment margin percentages which normally grow in the 50 to 100 basis points range with this kind of revenue growth should actually be just slightly higher, as the missing trust income carries 100% margins. Still, we expect healthy increases in cash/dollar margins for 2016. And finally, we expect corporate SG&A to be relatively flat for the year in the lower $30 million range on a quarterly basis. So to wrap it up, I just want to say thank you to our entire team for their hard work and helping to produce great results thus far and we look forward to a strong finish in the fourth quarter of 2015. With that I’ll turn the call over to Eric.
Eric Tanzberger: Good morning, everybody. I would like to start this morning by summarizing some key financial points that I think are important for everybody to understand before I get too much into the details of the quarter. So cash flow continues to be very strong with the third quarter well ahead of our expectations and slightly higher than prior year. Cash flow was primarily bolstered by the favorable trends, increased cemetery working capital that I will touch upon in a few minutes, when I get into the details. We also have a new expectation of lower normalized cash tax payments for the full-year of 2015 and as a result of this, coupled with the strong preneed cemetery working capital that I just mentioned, we are once again raising our full-year 2015 guidance for adjusted operating cash flow to a range of $500 million to $525 million. This cash flow stream coupled with our favorable liquidity profile has enabled us to execute a robust capital deployment program during the quarter, which included returning an impressive $177 million to our shareholders to both dividends and share repurchases. Finally, our outlook for 2016 cash flow is in the range of $475 million to $525 million, which continues to demonstrate the consistency and predictability of our cash flow stream at SCI. So with that let’s begin with the third quarter in terms of cash flow, and as you saw on our press release as the adjusted operating cash flow grew $1.7 million in the third-quarter to $125 million, as lower payroll funding and better working capital, basically offset the expected increase we had in normalized cash taxes. So a little bit more color on this cash flow in the third-quarter, similar to what we disclosed last quarter, cash flow from operations increased, despite contributions from FTC mandated Stewart divested properties in 2014 that we do not benefit from in 2015. This estimated impact in the quarter was $3 million to $4 million. As we also highlighted for you the last quarter due to the way the July 4 holiday fell this year, we benefited from lower payroll funding in this third quarter by about $19 million. Also on a positive note, we’ve been seeing an upward trend in recent quarters of increasing cash proceeds from preneed cemetery installment card collections, as a result of preneed cemetery sales production growing in the high single to low double digit percentage range as you have seen over the past several quarters. Well revenue recognition primarily occurred at the time of sale many of these cemetery property sales are paid on installments over 5 year period. Inline with our expectations normalized cash taxes during the third quarter increased $25 million over the prior year and maintenance in cemetery development CapEx for the quarter came in at approximately $37 million. So our calculation of free cash flow for the third quarter therefore is $88 million, this is flat to the prior year but again well above our internal expectations, as the greater benefit in working capital offset the increase in normalized cash tax. So, overall a solid quarter for us in terms of our cash flow from our point of view. Now shift in the look forward into the fourth quarter of 2015 as well as the full year of 2015, first in the first 9 months of the year adjusted cash flow from operation has increased $39 million or 10% to $425 million. So based on these strong year-to-date results so far better working capitals and previously expected related to preneed cemetery installment cash receipts in a revised lower estimate for normalized cash taxes. We are raising our guidance range for 2015 annual adjusted cash flow by $25 million which equates to a new range of $500 million to $525 million for the full year of 2015. This new guidance for the full year implies the cash flow range in the fourth quarter of $75 million to $100 million compared to the prior year amount of $123 million. But keep in mind, that we have 2 significant headwinds in the fourth quarter. First, remember that last year we have benefited from $15 million of trust fund distributions when we received one time capital gains distributions from integrating Stewart Trust bonds. Second, we will also have a higher normalized cash tax payments with an expected $30 million in the fourth quarter of this year versus no normalized cash tax payments in the fourth quarter of last year. Despite this fourth quarter increase in normalized cash taxes over the prior year, we now believe that we will end 2015 with about $100 million in total normalized cash taxes versus our previous expectation of a $125 million. Our recurring CapEx guidance expectation for the full year of 2015 is approximately $140 million, which set the high-end of the range that we previously provided. This results in a higher expected range of free cash flow of $360 million to $385 million for the full year of 2015. Now let’s shift to the third quarter going back and let’s talk about our free cash flow deployment. To begin with, we finish the quarter with healthy liquidity a little less than $385 million, consisting of a $142 million of cash on hand and $242 million of availability on our long-term credit facility. This liquidity positions us well to strategically execute our capital deployment plans. So during the quarter, we spent approximately $8 million on two new acquisitions after including almost $4 million of 10.31 exchange funds which are not reflected in our statement of cash flows, for both transactions have projected after-tax IRRs in the mid-to-high teen percentages. Now for what we gave back to our shareholders, we’ve returned an impressive $177 million of value to our shareholders during the quarter, which by the way represents the most we have returned in a single quarter since 2007. In addition to $24 million in dividend payments, we also repurchased about $153 million or 5.1 million shares during the quarter. Subsequent to the end of the quarter, we have repurchased just over 620,000 additional shares for a total investment of approximately $17.5 million. Therefore, when you look at what we have done so far in 2015 through today, we have repurchased about 11.6 million shares for a total investment of over $321 million. These repurchases are more than double what we’ve said to be possible at the beginning of the year and we are pleased that we have been able to be opportunistic at these share price levels. Currently we have just over a 196 million shares outstanding and about $300 million of remaining share repurchase authorization. Now let’s shift to our outlook for 2016. And in 2016, we expect our adjusted operating cash flows to be in the range of $475 million to $525 million. Higher cash flow growth from our underlying funeral and cemetery operations will be more than offset by higher anticipated normalized cash tax payments. As we transitioned to become a full cash tax payer in 2016, our preliminary estimate for normalized cash taxes in 2016 is approximately $116 million, or a $16 million increase compared to 2015 normalized cash tax payment of approximately $100 million that I just mentioned. Absent this growth though and normalized cash taxes our adjusting operating cash flows are expected to grow a healthy 9% in 2016 when utilizing the mid-point of our occurring guidance range. And lastly, capital spending in 2016 for maintenance in cemetery development CapEx is expected to range from $140 million to $150 million, slightly higher than our expected spend in 2015 as we continue to reinvest in our core businesses. So in conclusion, we continue to have a healthy balance sheet in capital structure and of course tremendous liquidity. All of which add to our flexibility to pursue opportunities that will drive value for our shareholders and our company. We are expecting continued strong cash flow for the remainder of this year and into 2016. We both as shareholders and as management consider this free cash flow [indiscernible] to be built steady and predictable and I’m not sure there are any 2 better attributes a company can have when describing its cash flow strength. And we will deploy this cash flow to continue to deliver significant value for our shareholders in 2016. So operator that concludes our prepared remarks and now I would like to shift it back to you for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And our first question comes from Chris Rigg from Susquehanna Financial. Chris please go ahead.
Frank Lee: Hi, this is Frank Lee on for Chris, thanks for taking my question. Share repurchases is well above the target for the year and acquisition seems to be inline. Could you provide some more color on how we should think about capital deployment in the fourth quarter and in 2016, specifically the mix of repurchases and acquisition?
Tom Ryan: Frank, this is Tom, thank you for the question and I think specifically, as it relates to 2014 I know that we have a transaction that we believe will close in the fourth quarter and so I also think we are going to have a healthy amount of money that we are going deploy towards share repurchase. So think of the acquisitions spend being kind of in the mid to – I guess kind of high single-digit million dollars and then spending money on share repurchase and otherwise. As you think about 16, my thoughts are again this changes from time to time, I’d see the pipelines are not as robust as it once was and so as I think about the mix at this point in time 16 maybe little heavier on the share repurchases versus opportunities to deploy cash for acquisition. Having said that I think we are building more funeral homes that are again on a plan for 2016, so we will continue to grow future revenues through growing the businesses that we operate.
Frank Lee: Okay, thanks. And then if I can, not sure if I missed this, but had you quantified what you are expecting as far as trust fund and currency impact in the fourth quarter and then in 2016 EPS guidance?
Tom Ryan: Yes, I think when you think about the fourth quarter because we lost close to a penny of currency in the fourth quarter and so if you assume the Canadian rates stayed the same, they began to slightly dip in the fourth quarter last year. So it probably won’t be quite a penny, but it will be somewhere between a half penny and a penny and we are really forecasting the Canadian currency for next year to be stay where it is if you will and again that can change up and down. From a trust income perspective, clearly, we reset the bar in the third quarter by having the bad third quarter, but the markets of 9% in October so we’ve got a little bit back and your guess is as good as mine on what is going to happen in 2016, but we generally project for returns in the year to be kind of in the low-to-mid single digits as far as market returns and again those adjusted based upon the realities of what the fluctuates of the market do, so that’s the way we think about it and that’s the way we modeled it when you think about 16.
Frank Lee: Okay, that’s helpful, thanks a lot.
Tom Ryan: Okay.
Operator: And our next question comes from the A.J. Rice from UBS Financial Services. please go ahead.
A.J. Rice: Thanks, hi everybody, just maybe a follow-up on a couple of those earlier points, on the buybacks for 2016 is there. I’m assuming you factored in or in the EPS guidance for 2016, I am assuming you factored in the buybacks from 2015, if you assumed any level of buyback in your guidance for next year?
Tom Ryan: A.J I think you know, again we’ve got a range, so we’ve got kind of a low and a high thought on what’s going to happen on buybacks. So I think the way to think about it is we’ve got a, we have some buyback activity in there but I would say not a historical trend that you have seen us do. So, I do think there is some upside potential if and when we execute the buyback strategy, but again remember it will have a half year’s effect if you will on 2016 and probably really flat to see for more earnings per share and cash flow per share growth in 2017, so not a lot in there but some.
A.J. Rice: Okay. And then just on the working capital benefit you are seeing from the better payout to the installment sales on the cemetery side. Is that sort of the results of an initiative, is that the result of different consumer behavior and if you realize the full benefit of that, is where you are at now sustainable or is there potential for more room, give us a little more flavor on that?
Eric Tanzberger: A.J this is Eric. I mean, what you‘ve seen is I try to describe in my notes, it’s really good healthy increase in our cemetery sales production especially what we call heritage or cemetery property. And as you know with accounting is for recognizing that revenue, but a lot of that was done at the time under installment contracts. And what you are really seeing is an increase of cash flows coming from those installment contracts which are higher because of that sales production. So, it’s really a function of you know what do we think of the levels of sales production, I will dictate the installment contracts and the cash receipts coming in later. You have seen some really healthy increases in cemetery sales production in the first half of the year, they were up mid double digit high teen percentages and no way of we project in that type of increase to continue. So I think it will kind of moderate, but it was very nice in terms of a tailwind for us for cash flow for this quarter and probably into the fourth quarter as well.
Tom Ryan: A.J this is Tom, I just add to piggyback to what Eric saying, when you think about the sales production growth we get some of it for lack of a better way [indiscernible] to the external world from internal sale. If you think about an internal sale that customer that used to come in the cemetery they generally paid more upfront cash, they generally weren’t extending as much payment term. And as we have been able to grow our cemetery through the outside sales force, that outside sales forces bring a customer that may or may not have come in before and they tend to finance over a period of time, so I think that mix of people that are utilizing that financing tool continue to increase and so Eric’s point and I think those receivables are out there and we’ll continue to grow that aspect of our business.
A.J. Rice: Okay, and may be last, I know you said in the prior remarks that you mentioned on that first question the [Indiscernible] activity may be sound little bit of an upswing as well as – it’s been a long time, so I think I’ve heard you are buying cemetery land, could you just give us flavor for – is that a one off or is that something that we are likely to see more out?
Tom Ryan: Yeah, I think on the cemetery its generally one off because we just don’t have a lot of those situations, I think what you will see going forward and I think during the pipeline as we have got approvals to build funeral homes sometimes on the accommodation facilities in cemetery, sometimes on process of real estate and we believe demographically are the right place to be. So we get quite a few of those on the drawing board and their plan and prior to the 209 to 210 and I’m aware of that again increased activity relative to the past. So I think you can see more of that, but more related to the funeral side of business versus cemetery.
A.J. Rice: Okay, alright.
Tom Ryan: Thanks A.J.
Operator: And our next question comes from John Ransom from Raymond James. John, please go ahead.
John Ransom: Hi good morning and I’m sorry I was pinging back and forth on a couple of calls, so I apologies if I miss those, but did you say last year was obviously a big flu season, if flu is a more normal season this year, do you have just a ballpark estimate of what that might [indiscernible] funeral volumes?
Tom Ryan: Hi John, this is Tom and.
John Ransom: Good morning.
Tom Ryan: Yeah, I think again it’s hard John to project that, I would just tell you this, that in my mind if you model 1% to 2% down for the year, the way I would expect it to roll in is that you could see a call it a 3% or 4% decline in the first quarter may be into the first half of the year which again you would make back a lot of that with flat to slightly up in the back half. Again I think [indiscernible] tells us that’s probably a trend line, the truth is we don’t know.
John Ransom: Okay.
Tom Ryan: I think the way we are looking at it is you could have a pretty tough comp particularly in the first quarter, less so in the second and then I will see the third what you’d expect to be a little more favorable comp – you saw here.
John Ransom: Okay, great. And do you think we have got into a new plateau with respect to your preneed business and the lack of cash burn that we saw so far is that the new role?
Tom Ryan: I think again – I think we really some good traction and some of the stuff we have done in the preneed role in terms of good production getting down payments and then seeing a tailwind that will last, as I said 3 to 5 years for that, but I think it was a little bit more than what we expected John is what I said and so.
John Ransom: Yeah.
Tom Ryan: I’m going to wait a quarter or so to fully alpine if this is the new normal, what I got is we are starting to see some traction, but probably not as good as we saw this quarter.
John Ransom: Is your mix of trust versus third party insurance still kind of consistent with what it has been?
Tom Ryan: Yes.
John Ransom: Okay, thanks a lot. That’s all I had.
Tom Ryan: Thanks.
Operator: [Operator Instructions] And our next question comes from Duncan Brown from Wells Fargo. Duncan, please go ahead.
Duncan Brown: Hey, good morning. When you think about 2016 guidance are there any additional may be the Stewart opportunities or is that most of that or all that been realized?
Tom Ryan: Hey Duncan this is Tom. I think what we’ve got in place almost, again we are always trying to find new ways that [indiscernible] cost structure and our efficiency, but I would say from a Stewart synergy perspective they are all in place and there should not be a real incremental piece in 2016. Having said that on the revenue side as you think about cemetery development we constantly looking at cemetery plan and develop a new levels of inventory new tiers of inventory, we have not got around to every Stewart cemetery and develop the right levels of inventory, the right the tiers of inventory. So think we believe there is opportunity to create value and create synergies for the Stewart cemetery that probably gets into $16 million and even into $17 million, but again these numbers are probably in the low single digit million dollar opportunities as the years go on. So we are excited there is much more do and we are constantly looking at ways to enhance value for [indiscernible] and drive profitability for our shareholders.
Duncan Brown: Okay, that’s fair I appreciate that color then also on the 16 guidance, would love to get any thoughts that you have on wage inflation, pressure that you are seeing on that and just any, you’ve seen any changes on that front or expect anything?
Tom Ryan: Nothing outside the normal, I think again we are people oriented business and it’s important for us to, for our employees to be engaged in what we are doing and doing the right thing, but I would say we are not seeing anything that trend wise, we had seen in the last 2 or 3 years.
Duncan Brown: Okay, great. Thank you.
Tom Ryan: Thanks Duncan.
Operator: Okay and we have no further questions at this time. I would like to turn the call back over the SCI management team.
Tom Ryan: I want to thank everybody for being on the call today. And we look forward to reporting back to you guys in February for our fourth quarter and final 2015 numbers. Thanks again for being on the call.